Operator: Ladies and gentlemen welcome to the Analyst Conference Call and Live Webcast. I am Youssef, the Chorus Call operator. I would like to remind you that all participants will be in listen-only mode until the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions]. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Rohit Aggarwal, CEO. Please go ahead.
Rohit Aggarwal : Good afternoon and a warm welcome to the presentation of Lenzing’s results for the financial year 2024. Ladies and gentlemen, with me today is Nico Reiner, our CFO. We'll start with an overview of key developments. I can clearly say that the revenue, profitability and free cash flow significantly improved in 2024, despite a continuously challenging market environment. Our revenue increased by 6% to EUR2.66 billion compared to 2023, mainly reflecting a higher level of revenues generated from Fibers. EBITDA significantly rose by 30% to EUR395 million in 2024, and the EBITDA margin increased from 12% to 15%. This development was driven by the positive effects of the performance program on the top-line as well as on the cost reductions. Free cash flow also showed a clear positive trend with an increase to EUR167 million compared to minus EUR123 million in 2023. Overall, our performance continues to show positive developments despite the lack of market recovery. Moving on to the next slide, our focus remains very much on driving price and cost excellence. As I said, markets remain challenging in 2024. Let's start with a brief overview on demand, prices, as well as input cost and we'll go into a bit of detail in the subsequent slides. On the demand side, global apparel markets developed mostly flat, while non-woven markets continue to remain more robust. With regards to market prices, we saw a slight increase of selected generic prices on fibers compared to the end of 2023. However, the average of 2024 were lower compared to average price in 2023. On the cost side, energy and caustic soda market prices remained elevated versus pre-crisis levels. Let's go into bit more detail and look at first the market demand. And we have two key markets, textiles and non-wovens that we serve. Let's start with the textile’s markets. When adjusted for inflation, global demand for apparel remained largely flat in 2024 compared to the previous year. The U.S. sales showed resilience, while Europe saw declines and China experienced stagnation. Inflation still impacted apparel retail sales in 2024. Lower consumer confidence and reduced spending appetite posed ongoing challenges in 2024 and are expected to carry into 2025. Factors such as economic volatility and geopolitical instability were also significant factors and will likely remain at the forefront this year. Maintaining balanced inventories levels has also become an ongoing priority for apparel companies since 2022, when levels were just too high. Overall, it has been and continues to be a challenging retail landscape for apparel. From 2019 to 2024, global apparel retail sales are estimated to now have grown by less than 1% per year on average, which is less than population growth and has likely led to sudden pent-up demand. Now let's turn our attention to non-wovens. Non-wovens are developing more stable in consumer markets like absorbent hygiene, wipes as their daily need items. Regulatory framework like the upcoming UK single-use plastic ban in wipes are setting the stage for a shift towards cellulosic fibers and this paired with growing brand interest and sustainability credentials like carbon footprint. In dynamic times, local supply and supply security becomes a key value-creating aspect for Lenzing. Let's move and look at how the price evolution took place for generic fibers in 2024. This fiber prices are for the Chinese market. Please keep in mind that prices shown on this slide are generic market prices. Lenzing prices are mainly traded at a premium and the current share of specialties in 2024 increased further to 93%. However, the generic market price was shown here, give an indication of the price development in a major fiber market. The China viscose market performed relatively stable in 2024. Chinese plants are producing at high operating rates and inventories remained low in historical comparison and the prices stood higher at the end of the year at around RMB13,750 per ton. Looking at cotton, cotton prices were volatile throughout 2024. After a peak in February, demand concerns started to weigh on prices later in the year. The international cotton prices closed the year about $0.12 lower than 2023. Looking at dissolving pulp prices, they went up over the year as mainly stable operations of viscose plants supported demand and price development of dissolving pulp. Moving on to the next slide, we talk a little bit about the input costs and here two of the main ones, energy and caustic slowdown. They were slightly significantly higher compared to historical levels and there was an increase in the first quarter 2024 compared to third quarter. Geopolitical developments increased uncertainty over gas supply in Europe, while cold and windless conditions drove gas consumption for largely power generation. This resulted in a further increase of gas in the European market. Caustic soda prices were on the rise in the fourth quarter as planned and unplanned outages reduced supply. The cost side remains a challenge for fiber markets. As we just saw, the relevant market for us still show no or little signs of sustainable recovery, especially generic fiber prices continue to remain under pressure and input costs are still on elevated levels compared to 2020. It is therefore even more important that we took swift action last year and are implementing the holistic performance program. The program initiatives are primarily aimed at generating free cash flow and improving EBITDA through strengthened sales and margin growth, as well as sustainable cost excellence. Just as a reminder, it consists of three pillars: profitable top-line growth with full focus on margin improvement, number two, cost excellence in all what we do and number three, free cash flow generation. The overall impact of the program should result in significant positive free cash flow. Looking at first point of our program, the commercial activities. We have undertaken extensive actions to strengthen sales activities such as acquisition of new customers for the most important fiber types and expansion in new markets, which are having all a positive impact. We've also updated our commercial processes, strengthened performance culture and commercial teams, upgraded compensation schemes and introduced new sales management tools. This is all part of what we would describe as commercial excellence. Our key element to increase the margin is to shift our product mix further towards premium fibers. In 2024, the share of specialty fibers increased by 14 percentage points to 93%. As another very important outcome, our fiber sales volume increased by 16% compared to 2023 to over 960,000 metric tons. With regards to the second point of our program, which is around cost excellence. We anticipate significant cost savings of which over EUR130 million were already realized in 2024. We expect cost savings to further increase to an annual cost savings of more than EUR180 million for this year. And to make it very clear, we are talking about our recurring targets with an ongoing impact beyond this year as well. Very good progress has been made in the area of product costs and quality through intelligent efficiency improvement measures. Successes have also been achieved in purchasing through operational and strategic measures. Looking ahead, the holistic performance program is expected to continue to improve manufacturing costs and to leverage further cost potential, particularly in the areas of overhead functions. At the same time, the structured and process improvement addressed will lead to positive effects on sales and margin generation. Here, I mentioned the performance program is currently well above plan. We can certainly be satisfied with our success so far, but there are still improvement areas ahead of us in order to maximize our full potential. From an organization perspective, we continue to focus on strengthening our global sales. At the same time, we have adopted our corporate organization to the changed market conditions and thereby strengthening the positioning of the Lenzing Group as a leading integrated fiber group. And with this, I hand over the time now to Nico Reiner for an update on financials.
Nico Reiner : Thank you, Rohit, and a warm welcome from my side as well. Despite continuously challenging markets, we were able to increase both our revenues and our margins thanks to the measures that we have taken actively. Revenue increased by EUR50 million in Q4 year-on-year. Looking at the full year in total, revenues increased by 6% to EUR2.66 billion. EBITDA increased by EUR48 million or 56% in Q4 compared to Q4 2023. Looking at the full-year EBITDA, it increased by even EUR92 million or 30% compared to 2023. Looking at adjusted figures, the EBITDA improvement would have been even higher. Depreciation was at EUR307 million leading to an EBIT of EUR88.5 million a significant increase to 2023, which was impacted by impairments. Income taxes amounted to EUR96.3 million compared to EUR7.3 million in 2023. This reflected the retroactive withdrawal from the Austrian Tax Group as a consequence of the interest of BNC falling below 50%. In addition, the income tax expense was influenced by the value adjustment of tax asset of individual group companies and by currency effects due to the transition of tax items from the local currency into the functional currency in a volume of EUR47.5 million. As a result, net loss attributable to Lenzing shareholders amounted to EUR156.6 million. This is of course not satisfactory and we must clearly continue to improve. Let's move to the next slide. Looking now at cash flow. Trading working capital increased by 5% in line with revenue growth and reached EUR578 million at the end of 2024. We were able to significantly decrease trading working capital since the peak levels early 2023. With regards to CapEx, Lenzing continues to put a clear focus on maintenance and license to operate projects as part of its performance program and CapEx significantly decreased to EUR156 million in 2024. This compares to EUR283 million in 2023. As a result, free cash flow increased by EUR290 million to EUR167 million in 2024. This development shows clearly a positive impact from the measures taken in our performance program. The fourth quarter had a negative free cash flow of EUR25 million. However, it needs to be considered that seasonal effects such as the 14th monthly salary as well as interest and tax had their impact. Let's move to the balance sheet. On the left side of the slide, we show the development of net financial debt. Net financial debt decreased by EUR30 million compared to 2023 and was at EUR1.5 billion at the end of 2024. Our leverage in terms of net financial debt to EBITDA significantly decreased by 1.3 turns and was below 4 at the end of 2024. The direction here is the right one. However, as you know, we clearly aim for further reducing our leverage. On the right side, you see the development of our liquidity cushion. It decreased by EUR284 million compared to the end of 2023 and reached EUR650 million at the end of 2024. This decrease reflects the repayment of debt mainly in the fourth quarter. In September, we announced the successful issuance of a $650 million green bond by the Brazilian joint venture LDC. Part of LDC's new financing structure with a total volume of $1 billion is also a $350 million syndicated loan. With this, LDC converted the existing project financing, which enabled the erection of one of the world's largest dissolving woodpile plant into a standalone corporate finance structure. As you know, Lenzing has a 51% share of the JV and is fully consolidating LDC. Based on the maturity of the bond as well as the terms of the loan, the refinancing led to a positive shift of debt maturities. Please note that the EUR500 million hybrid bond is not included in the numbers on this slide as it is treated as equity in our balance sheet. Financing considerations for 2025 and beyond are ongoing in a structured and professional way and we will communicate any potential next steps in due course. With this, I hand back to you Rohit. Thank you.
Rohit Aggarwal : Thank you, Nico. Shifting gears, let's kind of talk a little bit about innovation and sustainability, which are Lenzing’s DNA. On the back of our strong heritage, we continue to strengthen our leading position in the industry. Sustainability combined with transparency and traceability, innovation and our strong brands are our key differentiators. Now just to mention a few of our milestones in 2024. On the textile side, we have refreshed the TENCEL brand identity. We have carried out successful collaborations with our [Indiscernible] fibers and received an award for innovative outdoor clothing. In non-wovens, we worked on our totally chlorine free lyocell and viscose fibers to provide high-quality clean fiber solutions to our customers and partners and we have further raised awareness of the fight against plastic pollution. These are only a few of the examples of many excellent sustainable innovations and collaborations we did last year and more shall continue in the year to come. Now, let's look at the outlook for 2025. I can clearly say that thanks to our performance program, the operational performance in 2024 was much better compared to 2023. Market visibility remains low and we cannot predict when a full market recovery will occur. But we assume stable demand in pulp and have a cautious outlook on the generic fiber market development in 2025. However, we are not relying on tailwinds from the market. We continue to take the future in our own hands. As a result of the performance program, we expect ongoing improvements of our margins and on the cost side, we expect positive impact from our cost excellence activities to continue. We therefore expect EBITDA for 2025 financial year to be higher than in 2024. With this, I will hand over back to the operator for the Q&A.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. The first question comes from the line of Patrick Steiner from ODDO BHF. Please go ahead.
Patrick Steiner: Good afternoon. It's Patrick Steiner speaking. Thank you very much for the presentation. I would have one question. In the beginning of the presentation, you mentioned the positive effects on top-line in the cost base coming from your performance program. Could you please give us more details on the top-line effect? What did you change in terms of sales strategy? How large was the effect in terms of numbers? And also, what do you expect for 2024 and beyond? Thanks.
Rohit Aggarwal: Yes. So, thank you for this question, Patrick. So, this the improvement of our top-line, Roy, if you could answer this, what's its impact out of the program you could name?
Nico Reiner: Thank you, Patrick for that question. Just as a quick reminder, our performance program as we detailed out has three legs. One was around driving improvements in our top-line and that has three components to it. One is to continue to upgrade our product portfolio to more specialty products and that's why Lenzing enjoys a unique position, our value offering on sustainability, traceability and to be able to address some specific application areas allows Lenzing to have a clear advantage. Number two, we continue to move towards a more profitable and enjoying the premiums over generic market prices. And therefore, even though the generic market prices that are showed in China remain pretty much flat, we as Lenzing were able to improve our price premiums. And that kind of speaks to our value offering and the value propositions that we have to the market. And number three, we continue to look at our customer mix. We have been looking at new customer acquisitions. We've been looking at improving our customer mix moving away from some of our standard customers to customers who value our value proposition more dearly. And therefore, all of those combined allowed us to actually improve our fiber sales significantly last year. And that allowed us to improve our margins. If you look also at our work that we're doing with brands and retailers that has continued to further strengthen our position in the market. We increased our co-branding programs last year and we think that is going to allow us at Lenzing to continue to have better price positioning than our competitors.
Patrick Steiner: Thank you very much. Do you have like a kind of a specific number on the revenue uplift coming from that? That would be very interesting for me. And secondly, as a follow-up, maybe to give me a bit more insight into this, what have you achieved already and what is still to be achieved with what's on the agenda for 2025 in terms of your top-line program? Thank you.
Rohit Aggarwal: Patrick, thanks for that follow-up question. I understand your desire to understand the details, but at this stage, we'd not be able to disclose the specific numbers as you would understand. It's a competitive information that we don't generally hand out. But having said that, our program continues to intensify in 2025. It'll come -- it'll continue in the same direction, in the same themes. We are also, as I mentioned, strengthening what we call internally commercial excellence, and we are creating foundations for that to be able to sustainably improve our price premiums in the market. On the other side, equally continuing to shift our portfolio towards more premium products. We feel that as Lenzing, given our value propositions on sustainability, customer relationships, innovation, application understanding, technical support, all of these combined would allow us to capture better value. And through 2025, we are continuing to implement very strongly all those programs. And we hope to see continued success and benefits of that even in a market that is not currently giving us any tailwinds.
Patrick Steiner: Thank you very much. That's actually that's very helpful for my understanding. And last follow-up question, then I will get back in line, I promise. Based on your EBITDA guidance for 2025. I mean, it's rather unspecifically you performed quite well now in Q4, fulfilling your 2024 guidance by a good piece basically. How confident do you feel with the 2025 guidance now? And should we I mean, where if you would have to put this on a spectrum or in brackets, is this something you say, okay, that's quite something you're very confident on?
Rohit Aggarwal: So, Patrick, I'll make a comment and I'm going to ask Nico as well to join and add to it. Look Patrick, what we are very focused on is doing what I call self-help, taking the future in our own hands and we can only control what we can manage within our business. Now we can't predict what the market conditions and geopolitical situations as we all understand are currently creating a degree of uncertainty. But having said that, we are very confident of our performance program. We have executed that successfully in 2024, despite lack of good market conditions. And we feel pretty good about pulling the same levers stronger in 2025. And therefore, all I can say at this stage is that we do expect at this stage that our EBITDA is going to be higher in 2025 than in 2024. But let me ask Nico to add to that.
Nico Reiner: Now Rohit, I think a perfect summary of the question which has been raised by Patrick and I cannot add to that because you answered it in a perfect way. Thank you very much for that.
Patrick Steiner: Okay, great. Thank you very much. Understood. I'll get back in line. Thank you for your time.
Operator: The next question comes from Sebastian Growe from BNP Paribas. Please go ahead.
Sebastian Growe: Hi, good afternoon, everyone. The first one is also around the performance program. As you've raised the target for the expected savings from the program. The questions I have is firstly on the costs related to get there. As you're also pointing to leaner overhead structure, so how should we think about any potential implementation costs to reach the target? And for the free cash flow perspective around the performance program, we would be interested in the thoughts around working capital. So, you've also labeled to be more efficient on working capital management going forward. At the same time, we have seen an increase in the working capital quarter to about 22% at the end of the year. So, I guess my question really is what the right working capital going forward should be? And then I have two more questions, but maybe we can start there please.
Rohit Aggarwal: Yes. Thank you, Sebastian. So, two questions. First, the first was related to any costs with regards to the performance program. This one I will hand over to Nico.
Nico Reiner: Yeah, thank you very much, Sebastian. So, what we can say on the cost side for the implementation of this performance program, all these costs are already digested in our balance sheet and also in the P&L. So, none of additional costs being expected. So, that's point number one. And in regards to your question on the working capital side, what we can really say is on working capital side, as you know, coming from the very high levels beginning of 2023. We have been already significantly released here capital coming out of the working capital structure. But nevertheless, with the positive development of revenues in 2024, there was a certain increase on working capital back again, especially with focus on inventories. So, what we are really targeting to get that also more decreased a little bit. So, but I would not expect too much coming out of further improvement of working capital, but I can confirm it's one of the key elements we are driving it. It's one of our pillars within our performance program and we have a very close look on improving working capital to the maximum stage what we can achieve.
Sebastian Growe: It sounds good. And may I read into this that this also suggests that the outlook that you're having into the earlier part of the year 2025 is relatively good in order to just be able to supply the market with product that you had to sort of step up on the inventory side?
Nico Reiner: Overall, yes, we do have the situation also in a little bit of a seasonality. If you look into the lensing seasonality, you can see all of it that in Q1 and Q2, there is a little bit lower, let's say, revenue situation in the first half of the year where you also need to balance out your capacities and production topics as the second half of the year is mostly a little bit higher than the first half of the year. So, yes, you are right from a tendency. You could imagine that in the first half of the year, there's a little bit more on the tightness on the inventory side. That's the right conclusion. Yes.
Sebastian Growe: Okay, good. And then one more question quickly on the net financial results. So, you also made the point around the LDC refinancing. I feel apparently that the net financial expense has been going up quite markedly in the fourth quarter. Would it be right to assume there has been any sort of onetime costs related to this refinancing? And how should we think about the future costs for the very new financing in place?
Nico Reiner: Yeah. So, also your assumptions here in regards to the LDC refinancing, usually there has been a situation where into the fourth quarter we had to write off costs in relation to the old financing and in usual and regular transaction you do usually capitalize on the costs for the new financing. So, yes, there has been some impact in the fourth quarter coming from that refinancing structure, you are right.
Sebastian Growe: And would you be willing to give a number to just get a better idea of what the sort of underlying net financial result might be going to 2025?
Nico Reiner: I would love to, but as you know as a professional analyst that I'm not allowed to unless they need to stay in the regulations of the market. We are not guiding on individual numbers. We are only guiding on EBITDA. So, I'm very sorry about that.
Sebastian Growe: Okay. And the last one, and then I had asked that one before in the quarter three call and that is around the position of a 15% stake by Susano. Can you just update us on what the sort of latest is around this in the sense of then also the envisaged improvements where there was apparently then a statement made in regards to revenue growth, profitability, et cetera, and how it has played out since and to what extent you have these discussions open in the meantime?
Rohit Aggarwal: Yeah. So, with regards to the Susano stake, I'm not sure it's about the line was a bit weak, but I think we heard you and Roy will answer.
Nico Reiner: Thank you, Sebastian. I think your question is more around the share of Susano's participation in Lenzing equity. That's the correct answer correct question, then I'll try and address. Well, look, Susano is a well-known market player and during the past year, both Lenzing and Susano have acted in a similar space on the pulp side and therefore know each other and have respected very well. I would just kind of refer to the public statements made by Susano's management about Lenzing’s unparalleled track record of innovation and technology and making it a global leader in sustainable fibers. And therefore, as we have said that we have welcomed Susano as a core shareholder of Lenzing and we are getting to know them even closer as Susano now has a presentation on the Supervisory Board. And therefore, the discussions are happening at the level where we can learn from each other's experiences to be able to bring a better value unlock to Lenzing. As far as what they would like to do with their shareholding going forward, it's a matter for not for us to comment. As you can imagine, it will be something that will be best answered by them. And therefore, from our perspective, we are just happy that we've got two core key shareholders now and both are of equal value to Lenzing.
Sebastian Growe: It's just too early to talk about what these measures might be in order to speed up revenue growth or do better on profitability, but right way at this juncture?
Rohit Aggarwal: Well, I wouldn't want to delve into too much details, Sebastian, but you can understand that we do operate and they have experiences in the pulp -- paper pulp market quite significantly. And obviously, with them being in Brazil with the scale of operations they have, they obviously have a great degree of understanding on potential synergies on cost side as well as on market side. So, we are currently in the process of exploration. We are currently in discussions. We are looking at identifying, but probably it's just too early to be able to be precise about what that could look like. But we'll be looking at every potential opportunity on how we can harness and synergize for maximum impact.
Sebastian Growe: Okay. The very last one, two of this and then we'll let you go. There's no sort of link between that very discussion with Susano and the upgrade of the performance program target. That's the right conclusion at this point.
Rohit Aggarwal: Sorry, Sebastian. Can you repeat your question?
Sebastian Growe: The question was the upgrade that you have undertaken in the savings related to the performance program, there's no link to the corporation or the entry of Susano as becoming then a 15% equity owner in Lenzing. Is that the right way to look at it at this point?
Nico Reiner: Yes, Sebastian, this is Nico again. When it comes to the our program of performance improvement, this program has been set up in summer 2023 and is completely self-sufficient and executing on a separate lever as you already stated and so therefore your interpretation is the right one. It's an own program which is owned by the Lenzing people, by the Lenzing employees and they are fully committed to deliver. And as you have seen, we are significantly better than the program was set up. And so, therefore, we are very confident about getting the program into the next level of success.
Sebastian Growe: Okay, great. Thanks so much.
Operator: The next question comes from Sebastian Bray from Berenberg. Please go ahead.
Sebastian Bray : Hello, good afternoon and congratulations on the results. They're pretty good in what must be quite trying circumstances at times. I have a few questions, please. I'll ask them in turn. The first is on the net impact of energy cost hedges and FX hedges and versus spot at the moment. I appreciate you're not going to give me any quantitative guidance on what this exactly is for 2025. But if you take those two items energy and FX, would you expect them to have a positive or negative impact on EBITDA as things stand?
Rohit Aggarwal: I'm sorry, Sebastian. So, you refer to 2024 now or to 2025?
Sebastian Bray : To 2025. Okay.
Rohit Aggarwal: So, I'll forward this to Nico. So, impact -- potential impact on energy and FX of the hedge’s situation on our guidance for this year?
Nico Reiner: So, Sebastien, just our thoughts around FX -- is FX should be always in a neutral position when it comes to profitability and that's the way how we are managing FX. And therefore, I would not comment on any impact of FX in regards to our operational, let's say, to the EBITDA as our position is here pretty clear, it needs to be neutral. On the other side, when it comes to energy, which is one of our crucial input factors, here we do have a policy in place, which we mentioned already a couple of times in further calls in the past where we said look, we are hedging it on the basis of that policy one third, let's say, which is in regards to the next 12 months where we are hedging two thirds and then for the following 13 months to the 24 months, we are hedging roughly one third. And then what we are also doing, we are looking also beyond the 24 months to get also energy costs as much as possible neutralized to our operational EBITDA development. This would be my comments on your questions.
Sebastian Bray : That's helpful. Thank you. And my second one is just on the definition of net debt that Lenzing applies when getting to the 3.9 times reported net debt to EBITDA. Just to clarify, the net debt corpus of just under EUR1.6 billion that Lenzing reports includes only 50% of the EUR1 billion of debt associated with the Brazil JV and does not include the hybrids. Is that right or?
Nico Reiner: Let me comment on the two topics. So, as we do own on our Brazilian JV LDC 51%, we are fully consolidating LDC in our numbers. So, it's fully included and embedded. And when it comes to your other question, it was in relation to the hybrid. The hybrid is an equity tool, which is not shown in our presentation as it is according also to IFRS rules.
Sebastian Bray : I see. So, the Brazil is completely consolidated within the EUR1.5 billion to EUR1.6 billion reported net debt…
Nico Reiner: Correct.
Sebastian Bray : That's helpful. And my last one is just on a question related to disclosure. Why is it that Lenzing, despite its relatively high level of indebtedness currently, although it's heading downwards, is not prepared to tell the market what it thinks its financing costs will be in '25. Many other European companies are prepared to provide guidance on CapEx and interest costs. What is the thinking underlying not guiding the market explicitly in one direction or the other here?
Nico Reiner: Look, Sebastien, we always guide on one number, which is the EBITDA and that's what we do. And so therefore, I'm pretty sorry about not giving you guidance on special items of the P&L, but that's the basic way how we are handling it. So therefore, you should probably see that that's the way we are doing it. Very sorry about that, but that's the case at this point of time.
Sebastian Bray : No problem. Thank you for taking it.
Operator: The next question comes from [Indiscernible] from MNG PLC. Please go ahead.
Unidentified Analyst: Hi. Thanks for taking my question. The first one is really just a clarification on the point that you were discussing before about the exploration you're doing with Susano. I just want to clarify exactly what is it that Lenzing and Susano are exploring at this stage? Sorry, I missed that point and it's an interesting one.
Rohit Aggarwal: Sol, thank you for the follow-up question. Just I want to at the outset just be clear about it that Susano is a shareholder of Lenzing. Any discussion on any of these are through the supervisory board and we still have to operate as two different independent companies at arm's length. Having said all that, under the possibilities of what can be done is still what we are trying to understand and explore both on potentially market side as well as on potentially cost side and of course cost learning on operational issues. Let me kind of say it in a broad way where there are certain markets in where we may have some common customers where they serve their solutions and we serve our solutions. They are in paper pulp, we are in dissolving wood pulp. We sell fibers, they sell the paper pulp, but it could be a similar customer base, and we could learn from there. Also, on the cost side, they have significant operations in Brazil. We do have our joint venture LDC. Again, opportunities to understand the market structures and so on and so forth. So, there could be areas that we are still at an early stage and therefore I don't want to delve too much into speculating as to what that could look like, but that would be at a very high-level view. And again, all of this would be within the frame of two different companies trying to find opportunities for each other. Does that help you?
Unidentified Analyst: Okay. So yeah, I guess if I maybe rephrase it just to make sure I understood correctly is, effectively, Susano is contributing its [Indiscernible] at this stage. Is it just [Indiscernible] how or there's more on if you can say that?
Rohit Aggarwal: No, I can't say more than that. So, at this stage, as I said, it will be speculative. I won't delve into any more discussion on this. But we'll keep you posted as and when things get more concrete.
Unidentified Analyst: Okay. That's interesting. And the other question I had is on LD cellulose. First of all, on the reporting, sorry, I haven't followed up the financials. But looking on the website that the last reporting is FY '23, maybe I've missed something. How frequently do they report, what do they report and when?
Nico Reiner: Yes, let me elaborate on that question. Look, when we brought the new financing place in last year, we have also issued a bond for the refinancing and this bond is a public listed tool and therefore we have to report also on this tool and that's the reason why LDC cellulose is also reporting in accordance to law on the basis of that tool which is there in the capital market just to give you that framework.
Unidentified Analyst: But is it reporting quarterly, annually? What is the frequency?
Nico Reiner: So that's done on a quarterly basis, yeah.
Unidentified Analyst: And where can we find the reports?
Nico Reiner: There is a separate investors relation homepage established or is now actually going to be established at LD Cellulose. It will be online by the end of this month.
Unidentified Analyst: Okay. Thank you. And can you give us the EBITDA and net debt of LD Cellulose as of FY’24?
Nico Reiner: Look, this is something what we do not disclose here. It's done directly to our investors who are in relation to the tool which has been established there. So, I'm sorry about that one, but that's the situation here.
Unidentified Analyst: Okay. But you confirm there hasn't been any reporting since the bond issuance?
Nico Reiner: Now look, the tool the Investor Relations homepage is going to get online and all the reporting which has been in place has been done according to all obligations coming first of all out of the old financing structure and also in regards with the new financing structure which is here in place. So, it's something like a transition phase, what LD Cellulose are going underway at this point of time. So, that's the future outlook at it there.
Unidentified Analyst: Okay. And last one, if I may, on LD. Sorry to belabor on the point, but what is the cash extraction system out of these? I guess, it's a dividend. I'm just checking what are the limitations you have on extracting LD Cellulose?
Nico Reiner: Yeah, this is one topic and one motivation also why we did that refinancing in the last year. So, we do have here as the tool and you are totally right, this dividend policy, LD Cellulose is going into and based on the refinancing which we did and also of the very successful development of LD Cellulose, we expect first smaller amounts of dividends within 2026 increasing then the following years.
Unidentified Analyst: Okay. But there is no dividend in this year coming in 2025?
Nico Reiner: Not in 2025, you are correct.
Unidentified Analyst: Okay. Thank you.
Operator: The next question comes from Isha Sharma from Stifel. Please go ahead.
Isha Sharma: Hi, good afternoon. Thank you for the presentation. My first question is on the performance of the two segments. We saw in the pulp division an acceleration in both absolute EBITDA as well as margin in the second half. But at Fibers, we saw a deceleration despite a sequential improvement in prices. Why is that and what are your expectations for 2025 please? And then, just on the second question, you clearly overachieved your initial savings target of $50 million in 2024. If you could please share with us which pillars contributed more than your initial expectations and if there is still upside potential to your '25 target?
Unidentified Company Representative : So, thanks, Isha. So, two questions. First with regards to the segment, the difference of the performance development of the pulp versus the fiber segment and the outlook of this year. I will hand over this to Rohit please.
Rohit Aggarwal: Yeah. Thank you, Isha, for that question. Just as a reminder, Lenzing continues to position itself as a leading integrated fibers group, and our pulp is really a key feedstock with majority of that being used for captive fiber production. And therefore, what we see in '24 and continue to see even in '25 continuing is more and more our ability to grow our fibers business, both in textiles and non-wovens. We made a significant movement in terms of volume growth in '24. And we hope to be able to continue to do that in '25 despite the current market conditions. And that's all become possible because of the factors that I initially talked about in terms of our value proposition and some of the changes at the macro level that are helping drive sustainability and other considerations, which allow us to benefit from. And therefore, that trend will continue and we expect that 2025 we will do three things very specifically in that area. We will continue to drive what we call premiumization, which is moving our product mix to more specialty fibers. Number two, trying to find better ways to capture value in our pricing. And number three is going to continue to bring innovations into 2025 to allow us to accelerate our growth. So, I hope that kind of gives you a feeling, Isha, that the focus is very much on helping drive our fibers market penetration in our specialty fibers. And for the second question, I hand over to Nico.
Nico Reiner: Yeah. Thank you, Rohit. So, when it comes to our performance program, we have highlighted in the presentation the pillars, the key areas and sections where we are working on to improve. And when you think about what has been the key driver of the overachievement in 2024. So, first of all, there have been initiatives and by saying that you need to reconcile that we have hundreds of initiatives which we are doing here. There have been initiatives which have delivered earlier than expected to improve the situation in 2024. And additionally, there are also another category of initiatives where the outcome out of the initiative has been simply higher than expected. So overall, we are very confident about our performance program also delivering in 2025 the numbers we are communicating here with the EUR180 million. So, this confidence is pretty much the same as when we started our overall performance program in 2023.
Operator: [Operator Instructions]. The next question comes from Benoit [Indiscernible] from [Indiscernible]. Please go ahead.
Unidentified Analyst: Hi, thanks for taking my question. My first question would be on the liquidity question you mentioned. Can you clarify if this is consolidated cash and headroom on our RCS lines for lending as a wall on a consolidated basis, including potential cash at LDC, the loans that you do not plan to upstream? This is my first question. My second question is, can you clarify the EBITDA guidance? When you mentioned EBITDA improvement year on year, is it based on reported EBITDA including biological assets revaluation and CO2 certificates disposals or is it adjusted for that? And my last question would be on reverse factoring, any reason why reverse factoring has increased year-on-year? Thank you.
Rohit Aggarwal: So, thanks, Benoit. Three questions here. First one is with regards to the liquidity caution of EUR650 million what is included there especially with regards to cash, potential cash at LDC?
Nico Reiner: Yes. So, you are totally right. This is a consolidated number for the whole group. The EUR650 million that's the very simple comment I can make that we are reporting also all our numbers on a consolidated basis. When it comes to your question around EBITDA, yes, this is the reported EBITDA what we are guiding here, but also in our presentation, we are in detail showing the impact coming out of the biological asset and the impact is relatively foreseeable in 2024. You have seen the numbers there, but we are doing it on a reported basis. And for your last question, yes, we do have also a reverse factoring program in place, which we are partially using in regards to optimize also here the situation especially here for the receivables, which are partially then used in this program.
Unidentified Analyst: Okay. Thank you.
Operator: Ladies and gentlemen, this concludes our Q&A session. I would like to turn the conference back over to Rohit Aggarwal, CEO, for any closing remarks.
Rohit Aggarwal : Thank you. Ladies and gentlemen, that was it for the call. We will publish our results for the first quarter on May 8 and look forward to seeing you then. Thank you for your attention and goodbye. Great weekend. Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.